Operator: Ladies and gentlemen, thank you for standing by for Cigna's Third Quarter 2013 Results Review. [Operator Instructions] As a reminder, ladies and gentlemen, this conference, including the question-and-answer session, is being recorded. We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, Mr. Detrick.
Edwin J. Detrick: Good morning, everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and Chief Executive Officer; and Tom McCarthy, Cigna's Chief Financial Officer. In our remarks today, David will begin by commenting on Cigna's third quarter 2013 results. He will then discuss how our diversified portfolio of businesses, coupled with their differentiated capabilities, positioned us well for sustained future growth. Finally, Dave will conclude his remarks by making some brief observations about our expectations for 2014. Next, Tom will review the financial results for the third quarter and provide an update on Cigna's financial outlook for full year 2013. We will then open the lines for your questions. And following our question-and-answer session, David will provide some brief closing remarks before we end the call. Now as noted in our earnings release, Cigna uses certain financial measures which are not determined in accordance with accounting principles generally accepted in the United States, otherwise known as GAAP, when describing financial results. Specifically, we use the term labeled adjusted income from operations and earnings per share on a same basis as the principal measures of performance for Cigna and our operating segments, and a reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which is posted in the Investor Relations section of cigna.com. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations, and those risk factors are discussed in today's earnings release. And finally, please note that when we discuss our full year 2013 outlook and discuss our expectations for 2014, it will be on the basis of adjusted income from operations. In addition, our comments regarding both outlook and expectations for earnings per share will be on a basis which exclude the effects of any future capital deployment. And with that, I'll turn the call over to David.
David M. Cordani: Thanks, Ted, and good morning, everyone. Today, I'll briefly discuss our financial performance for the third quarter and review our outlook for the remainder of 2013, then I'll address how our clear strategy and consistent focus execution across our portfolio of diversified businesses continue to drive differentiated value for our customers and clients and attractive financial results for our shareholders. I'll also highlight how our differentiated capabilities position us to continue to deliver attractive growth. And finally, I'll provide some brief observations on our positioning for 2014. I'll start with some highlights from the quarter. Our focused execution of our strategy delivered strong third quarter results in each of Cigna's business segments, continuing our momentum from the first half of the year. Our third quarter consolidated revenue increased by 10% totaling $8.1 billion. We reported adjusted income from operations of $536 million or $1.89 per share, which represents a per-share increase of 12% over a strong third quarter of 2012. Turning to each of our business segments. Our Global Health Care business, again, performed well this quarter, with continued favorable medical cost and disciplined operating expense management in the Commercial business, partially offset by some pressure in Medicare Advantage results. We reported strong contributions from our Global Supplemental Benefits business, while making, as expected, increased investments to position us for sustainable future growth. In our Group Disability and Life business, we delivered solid results and, again, grew our book of business. Our attractive consolidated revenue and earnings results extend our momentum from the first half of this year and give us confidence that we will achieve our increased full year 2013 outlook. Now stepping back from our operating results and evaluating the market environment. We believe Cigna is positioned to our strategy of Going Deep, Going Global and Going Individual to reach more customers in a personalized manner and to further improve affordability and clinical quality. Specifically, our strategy is helping us capitalize on some of the dynamics we're seeing in today's global marketplace, including employers, as well as individuals looking for affordable health care solutions; an increased focus on transitioning to payment systems based on performance and value rather than volume; and the continued emerging growth of the middle class around the world. Beginning with the pursuit of affordable health care solutions, at Cigna, we seek to engage and incent individuals in their health and wellness, as well as the active management of the chronic and acute health conditions. We then seek to leverage our leading physician partnerships with the focuses on differentiated clinical and service quality, as well as improved affordability. We added 9 new collaborative accountable care relationships in the third quarter, which underscores the priority we are placing on these programs and the progress we are making in this critical area. This brings us to a total of 75 collaborative accountable care relationships nationwide. At the same time, our move to further strengthen our PBM, which will further improve affordability, is progressing well. This puts us on track to deliver additional client flexibility in 2014, all while providing attractive shareholder returns. In addition to these changes that focus on affordability and quality, we're also seeing market changes that focus on expanding access to insurance. As you know, this is unfolding in the form of both public and private exchanges. The public health care exchange marketplace went live on October 1. At CIGNA, we have maintained this very selective approach through the first phase of the public exchange opportunity. We are participating where we are best position to bring the greatest value to our customers. And as the Go Deep strategy suggests, we are sharply focused. As such, we are participating in 5 states. In these markets, our relative product and price positioning is consistent with our initial expectations. Relative to the private exchanges, the marketplace is in the very early stages of development, and from our point of view, we expect a continued evolution of these models over time. In fact, we believe the private exchanges may create attractive, sustainable opportunities for some employers, who view them as a way to get their employees more engaged in their health care programs. At this early stage of development, we have chosen to participate in many of the first-generation private exchanges. As we look to the future, we believe the best long-term outcomes will be delivered in an environment where both employees and employers are engaged to improve health and productivity, while seeking to leverage the most efficient positioning gauge and models. When we consider this initial stage of evolution and our differentiated health, wellness and physician engagement programs, as well as our proven direct-to-consumer engagement and marketing capabilities that we have developed and deployed around the world, we believe the private exchange marketplace gives Cigna a potentially attractive opportunity over the long term. Turning now to how our strategy addresses our growing imperative for payment systems based on performance and value, rather than volume, really [ph] are referenced of significant progress in our CACs in the commercial market, now with 75 programs in place. Another example is Medicare Advantage, where our focus remains on driving differentiated care coordination, outstanding customer service, as well as lower overall costs, fueled by value-based rewards for physicians and health care systems. To that end, today, approximately 75% of our Medicare Advantage customers are currently in a lined physician model to pay for value. Our focus on ongoing patient service and clinical quality improvement is underscored by our meaningful improvement in our 2014 Medicare Advantage stars ratings. We are pleased with our progress based on the updated ratings. We now expect about 40% of our Medicare Advantage customers to be in a 4 star or better plans. In addition, we are one of the few 5-star rated plans nationally, which is the only 5-star plan in Florida. This rating enables customer enrollment year round, which is a significant competitive advantage. This improvement can be partially attributed to our physician engagement model that rewards physicians for the commitment to the tripling goals, which is to improve health outcomes, delivering greater value for customers and driving better patient engagement and experience. Transitioning now to the global markets. We are pleased with the results of our focused execution of our Go Global strategy. At CIGNA, we are capitalizing on the evolving global market dynamics, where the middle class is growing and, as such, their needs are expanding. We're effectively reaching new customers through market-leading customer insights and marketing capabilities, combined with innovative distribution strategies. Our carefully built relationships with affinity partners around the world are helping us to reach customers with our innovative products. As of today, we have more than 150 affinity partnerships, and we are positioned to grow further. For example, in Thailand, we recently deepened our partnership with Tesco, becoming the only insurance company to offer health and accident products within Tesco's -- Tesco Lotus' superstores, our leader customer-centric retailer. In China, Cigna and China Merchants Bank just celebrated the 10th anniversary of our successful joint venture. And we're off to a good start with Cigna Finans, our joint venture partnership in Turkey. These partnerships all bring valuable health, life and other solutions to serve the rapidly growing middle classes in these countries, consistent with our Go Deep, Go Global and Go Individual strategy. Now looking ahead, grounded in the performance of our diverse portfolio of businesses, which continues to deliver a track record of strong earnings and growth, I'm confident that we will achieve our increased full year outlook for 2013 and carry this momentum into 2014. Specific to 2014, we expect it to be a challenging year, with the implementation of new laws and regulations and evolving distribution and care delivery models. In this environment, we have positioned ourselves with a diverse portfolio of businesses and differentiated capabilities. In 2014, we expect consolidated revenue and earnings growth over our increased 2013 outlook. It's important to note that we will achieve these differentiated results while we continue to invest for the long term. I would also remind you that our future expectations include the impact of any potential prior year reserve development or future capital deployment. We plan to provide detailed 2014 guidance during our fourth quarter call. Over the long term, we continue to see a competitively attractive growth outlook for Cigna. Now to briefly summarize before turning it over to Tom. Cigna's third quarter performance marks another quarter of strong, top and bottom line results for our business. This continued strong performance is driven by the contributions of our more than 35,000 colleagues serving our customers around the globe. Their successful execution of our strategy and leveraging our differentiated capabilities across our diverse portfolio businesses in key global markets, we believe we are well-positioned to deliver competitively attractive results for 2014 and over the long term. And with that, I'll turn the call over to Tom.
Thomas A. McCarthy: Thanks, David. Good morning, everyone. In my remarks today, I will review Cigna's third quarter 2013 results and provide an update to our full year outlook. I will also provide an update on progress that we've made to improve our financial flexibility, which is one of our strategic priorities. The quarter included strong revenue and earnings performance in each of our operating segments. Quarterly earnings per share of $1.89, representing growth of 12% over the third quarter of 2012 and continued effective deployment of capital. Overall, the quarter reflects continued focused execution of our strategy and demonstrates the strong fundamentals of our operating businesses. The strength of these results provide us with good momentum and confidence to increase our full year financial outlook in 2013. Now moving to some specifics. Third quarter consolidated revenues grew 10% over prior year to $8.1 billion, driven by growth in our targeted customer segments. Third quarter consolidated earnings were $536 million, representing 10% growth over the third quarter of 2012. Regarding segment results, I will first comment on our Global Health Care segment. Overall, Global Health Care reported another good quarter, with continued strong results in our Commercial business and some pressure in Seniors. Third quarter premiums and fees grew 7% to $5.7 billion. We ended the third quarter with 14.3 million medical customers, representing year-to-date growth of 255,000 customers. Third quarter earnings in Global Health Care were $424 million and reflects strong revenue growth and special contributions, operating expense efficiencies and attractive medical costs. Third quarter results were also impacted by a favorable tax adjustment, offset by strengthening of a litigation accrual. Turning now to medical costs. We continue to manage medical costs effectively and deliver strong clinical quality for our clients and customers. Medical costs also continue to reflect low utilization trends. As a reminder, given that nearly 85% of our U.S. Commercial customers are in ASO funding arrangements, our clients directly benefit from these favorable medical cost results. Regarding medical care ratios, in our U.S. Commercial guaranteed cost business, our third quarter 2013 medical care ratio, or MCR, was 82.9%. We are pleased with the results of our commercial risk businesses as they continue to reflect both a strong pricing and disciplined underwriting approach and a continued, effective medical management and physician engagement. In our Seniors business, our third quarter MCR for Medicare Advantage was 85.5% on a reported basis or 86.2% excluding prior year reserve development. This elevated Medicare Advantage MCR is due to a combination of revenue pressure and increased claim severity. Across our Commercial and Seniors risk businesses, our third quarter earnings include favorable prior period reserve development of $20 million after-tax, of which $9 million relate to prior years. Moving to operating expenses. For third quarter 2013, the total Global Health Care operating expense ratio was 21.8%. This ratio has improved over time, reflecting our ongoing commitment to drive expense efficiency, while maintaining strong service levels and continued funding of strategic investments. To recap, we had another strong quarter in our Global Health Care business. Now I will discuss the results of our Global Supplemental Benefits business, which continues to deliver attractive growth and profitability. Premiums and fees grew 29% quarter-over-quarter to $634 million, driven by contributions from our recent acquisitions, most notably Great American Supplemental Benefits and our Turkey joint venture, as well as strong customer retention and new business growth. Third quarter earnings in our Global Supplemental Benefits business were $39 million, reflecting attractive profitability and, as anticipated, our increased funding of strategic investments for future growth. For Group Disability and Life, third quarter results were strong. Group premiums and fees increased 9% over the third quarter of 2012 to $848 million. Third quarter earnings in our Group business were $92 million, reflecting stable results within our Disability book of business, partially offset by unfavorable life claims. The quarter also benefited from $26 million after-tax of favorable impacts from reserve studies, which compares to a $5 million favorable impact from reserve studies in the third quarter of 2012. For our remaining operations, results totaled to an after-tax loss of $19 million for the third quarter 2013 and included the benefit of a $14 million after-tax gain associated with an IRS examination. Taken as a whole, our third quarter results reflect strong revenue and earnings contributions from our ongoing businesses, as well as significant free cash flow as a result of a continued effective execution of our strategy. Now I will discuss our full year 2013 outlook. We now expect consolidated revenues to grow in the range of 10% to 11% over 2012. Based on the strength of our third quarter results, we now expect full year 2013 consolidated adjusted income from operations in the range of $1.9 billion to $1.96 billion. This range is higher than our previous expectations and reflects the strong underlying fundamentals in our businesses. We now expect full year earnings per share in the range of $6.70 to $6.90 per share, which is an improvement of $0.25 to $0.45 per share over our previous expectations. I will now discuss the components of our 2013 outlook, starting with Global Health Care. We now expect full year Global Health Care earnings in the range of $1.575 billion to $1.625 billion, an increase of $55 million to $80 million. This increased outlook for Global Health Care primarily reflects the effects of favorable medical costs, as well as improved operating expense efficiencies. I'll now summarize some of the key assumptions reflected in our Global Health Care earnings outlook for 2013, starting with our customer base. Regarding global medical customers, we continue to expect full year 2013 customer growth of approximately 1%. Relative to medical costs, for our total U.S. Commercial book of business, we now expect full year medical cost trend to be below 5%, which is at least 50 basis points below the midpoint of our prior guidance. We now expect the 2013 medical care ratio to be approximately 81% for our U.S. Commercial guaranteed cost book of business, which is 100 basis points lower than the midpoint of our previous expectations. For our Seniors business, we now expect our Medicare Advantage MCR for 2013 to be approximately 84%, which is 150 basis points higher than the midpoint of our previous expectations, reflecting the revenue pressure and increased claims severity that I noted earlier. Turning to operating expenses. We continue to expect our total Global Health Care operating expense ratio to improve by approximately 50 basis points over 2012's full year ratio. Now moving to the other components of our outlook. For our Global Supplemental Benefits business, we expect continued strong top line growth and now expect earnings in the range of $185 million to $195 million, which represents earnings growth of 25% to 32% relative to full year 2012. Regarding the Group Disability and Life business, we now expect full year 2013 earnings in the range of $290 million to $305 million, an increase of $5 million to $10 million over our previous expectations. And regarding our remaining operations, we now expect a loss in the range of $150 million to $165 million for 2013. So all in, for the full year 2013, we have increased our outlook for consolidated adjusted income from operations to a range of $1.9 billion to $1.96 billion or $6.70 to $6.90 per share. The updated EPS range also reflects our year-to-date share repurchase activity. Specifically, during the period August 1 through October 30, we have repurchased 6.4 million shares of Cigna's common stock for $500 million, bringing our total year-to-date share repurchase to 13.6 million shares for $1 billion. Now moving to our 2013 capital management position and outlook. Overall, we continue to have good financial flexibility. Our subsidiaries remain well capitalized and are generating significant free cash flow to the parent, with strong return on capital in each of our ongoing businesses. I would remind you of our capital deployment strategy and priorities, which have not changed. These priorities are: providing the capital necessary to support the growth of our ongoing operations; pursuing M&A activity with a focus on acquiring capabilities in scale to further grow in our targeted areas of focus; and after considering these first 2 items, we'd return capital to shareholders, primarily through share repurchase. We ended the quarter with parent company cash of approximately $500 million. After considering all sources and uses of parent company cash and setting aside $250 million in liquidity needs, we now expect to have approximately $500 million available for capital deployment at year end. Overall, our capital position and updated outlook are strong, and reflects the sustained performance of our operating segments. Now I'd like to spend some time talking about progress on one of the goals we identified in the strategic framework we launched in 2009. As you recall, our Go Deep, Go Global, Go Individual strategy is supported by 3 strategic pillars: focusing our portfolio of businesses, improving our strategic and financial flexibility and pursuing new growth opportunities. One key aspect we identified for improving our financial flexibility related to our pension plan and its funding. As part of our strategic framework, we implemented a multiyear plan to address the underfunded position in our pension plan. We first grow the pension plan, and beginning in 2011, started to make annual pretax contributions of approximately $250 million, which was well in excess of the statutory minimum requirements to address this underfunded balance. Our plan was to make these excess contributions over a 3- to 5-year period. Based on contributions made to date, a continuation of the equity market strong performance and increases in interest rates during 2013, the funded status of the pension plan has continued to improve. Assuming these trends persist through year end 2013, we expect the funded status of the plan to improve significantly over last year and intend to reduce the amount of our annual pension plan contributions going forward, while still meeting the statutory contribution requirements. This will create additional free capital available for deployment in 2014 for the benefit of shareholders. We will outline the impact of this decision, as well as our 2014 capital management plan on our fourth quarter earnings call. Now to recap the quarter. Our third quarter 2013 consolidated results reflect the strength of our global portfolio of business and a continued track record of focused execution of our strategy. The fundamentals in our business remain strong, as evidenced by third quarter results to reflect attractive financial performance in each of our operating segments, an increase in our full year 2013 outlook and continued effective deployment of capital. Based on the strength of these results, we are confident in our ability to achieve our full year 2013 earnings outlook, and as David indicated, we expect to carry this momentum into 2014. In addition, we believe our diversified portfolio of businesses with differentiated capabilities are well positioned to deliver long-term growth in revenue and earnings. With that, we will turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First question, just interested if you could give us some more insights into some of the MLR pressure experienced by HealthSpring in the quarter. And maybe just tease out how much of that was revenue pressure related to sequestration, as compared to some of the claims pressure that you cited, and if there were any particular geographies or products that were impacted by the claims pressure in the quarter. And then, just finally, just -- as you think about sort of the 3Q performance, how do you feel about the bids that HealthSpring submitted for 2014?
Thomas A. McCarthy: Scott, this is Tom. So first, again, the comparative basis matters here. You do recall that we are anticipating an increase -- or have anticipated an increase in the Medicare Advantage MLR going into this year based on repositioning for the health reform effects. But the elevated result this quarter, as you pointed out, is from a combination of revenue and pressure, including the impact of sequestration and a revenue true-up reflected in the quarter, I'll get to that in a minute, and some increased claim severity. As it relates to the revenue true-up, some of that related to the full year accrual for revenue due to CMS, so adjustment in the quarter for the full year accrual, and that accounted for about 150 basis points of the elevated third quarter MLR. On the claims severity side, that really reflects a higher cost for claims, so it's not the number of claims or unit cost per se, but a higher cost per claim due to the more complexed conditions and treatments. And again, we are actively working to address those issues. Regarding your comment on the bid, we're confident that we have, through our engaged physician model, we have the levers and the toolkit to manage this dynamic in 2014.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay. Just then just -- I have a follow-up question just on the initial outlook for 2014, and the fact that you're expecting to be able to grow off of a meaningfully improved base year for 2013, and you've had a couple of competitors come out and talk more about the potential for flattish or modestly down earnings or maybe sort of 2014 being sort of flattish as a floor. So can you help us think about what you think are the key differentiating drivers of the better relative outlook? Is it better performance that you're expecting in the Health Care business, or do you think it reflects the fact that you've got a different business next year with the international and Group Insurance as well?
David M. Cordani: Scott, it's David. We state a little bit of an end [ph], so let me tease out your question relative to '14. First, as you know, we're quite pleased with the fact that we are on track to have a very strong 2013. The backdrop of the '13 results that will carry into '14 are really the strength of our diverse portfolio businesses and our consistent focused execution. As we look to '14, as I noted in the prepared remarks, our expectation is that we will grow revenue and earnings, and to be clear, we exclude any impact of reserve development or capital deployment in that. And you should think about that being driven by the strength of our ongoing organic growth, some additional contributions from the further strengthening of our PBM and then the additional operating efficiencies that we've been able to garner each year, that goes across all of our lines of business, including the international businesses. And then, there's some structural headwinds, but we'll be able to offset those structural headwinds because of the diverse portfolio of our businesses. The final note I would give you is, both given the strength of our 2013 as well as some of those industry structural headwinds, at this point, we indicate that we will expect to grow earnings, as well as, then, obviously, EPS, but probably, earnings at a lower rate than our 2013 growth rate more historical run rate. Nonetheless, positive results leveraging both the diverse portfolio of our businesses and consistent execution.
Operator: The next question comes from Justin Lake with JPMorgan Chase.
Justin Lake - JP Morgan Chase & Co, Research Division: So first, just to follow up on 2014. As I think about some of the headwinds and tailwinds, can you talk a little bit about -- I mean, I calculated about $0.50 of headwind just from a lower tax rate, the prior period development that you probably won't put into guidance, et cetera, and then you get that PBM offsetting it, you mentioned some of the other drivers. So one, are those 2, $0.50 and kind of onetime items benefiting this year, $0.25 in the PBM for next year? And then are those -- and then can you talk specifically about 2014 on Medicare Advantage. Given you've taken up the MLR here, how much of a headwind should we expect that to be on MLR and EBIT versus 2013?
David M. Cordani: Justin, it's David. As we noted in our prepared remarks, we'll provide comprehensive and more complete guidance for '14 on our fourth quarter call. But let me give you a little bit more color in terms of how to think about it. First, you're correct. Consistent with our policy, we don't project any reserve development. And through our results, you could see where our favorable reserve development has been for this year, order magnitude, $70 million after-tax plus. So extract that from the consideration, you can make your own estimate on the taxes. Two other headwinds you point to is, one, you referenced Medicare, not going to go through the details of that. We'll go through the details of that in the fourth quarter, but it's an important headwind that, over the long term, we feel very confident on, but it's an important headwind. We'll be able to offset that in our portfolio. And then finally, an item I would just draw your attention to is, as I think you know, the implementation of ACA requires a sunsetting of the line of business, specifically limited benefits. Then we'll have a down tick in terms of our business, and from an earnings contribution standpoint next year, that's also fully contemplated in our expectations. So when you take all of those headwinds together, including our assumption that we're not projecting the favorable reserve development on a go-forward basis, taking all that into consideration, we'll still be able to grow organic earnings in 2014 off of a strong base, and that's something we're excited about.
Justin Lake - JP Morgan Chase & Co, Research Division: That's really helpful. So am I right in thinking that EBIT contribution from Medicare Advantage is expected to be down? And then, can you tell us what you think -- or can you give us an idea of how to size that limited benefit headwind?
David M. Cordani: Sure. Just directionally, because we don't talk about that, the second component that often. Justin, round numbers, if you think about $25 million, $30 million after-tax for the limited medical benefits business, so you can put that into context. And again, on the Seniors business, we'll talk more comprehensively. I think the headline I'd ask you to take away from that is, first, as Tom noted, we feel good about the bid position we have for 2014. We know we have the levers to be able to manage this business, and we're quite confident over the long term that the engaged physician model and the engaged individual beneficiary model is a sustainable model and something that we will both grow from a covered life standpoint in '14 and grow both lives in earnings thereafter. But '14 is a pressure year for that line of business from a margin standpoint.
Justin Lake - JP Morgan Chase & Co, Research Division: Got it. And then if I could just ask a follow-up on the private exchanges. I just wanted to get your comments here, David, in terms of the trajectory here. What you expect over the next 3 to 5 years, let's say, in the active employee market specifically. And then talk about your positioning and what you think the potential impact to your benefits business could be over time.
David M. Cordani: Sure. Well done in terms of sneaking in the third question. So relative to the private exchanges, as noted in the prepared remarks, first, we're in the very early stages of this. And important to note, as you know, based on your question, there are multiple different versions of private exchanges today. So single-carrier, multi-carrier, self-funded, risk-based exchanges [ph], retiree, active businesses, et cetera. Taking a step back, early stages, so long as those exchanges are able to create sustainable value for employers and individuals, we think there's a growth opportunity. We're playing in position to play in many event today. And -- but most importantly, we're confident that we have the capabilities, both the health engagement and network capabilities, as well as the diverse funding mechanisms and consumer engagement capabilities to play in any one of those alternatives, to the extent they demonstrate the ability to create sustainable value. So premature to give you a long-term projection, we think they'll be part of a future distribution model and we're positioned to play in a variety of those as they evolve over time.
Operator: The next question comes from Josh Raskin with Barclays.
Joshua R. Raskin - Barclays Capital, Research Division: Just a follow-up on third quarter Medicare Advantage MLR, I think about the 300 basis points. So your MLR was up 550 basis points year-over-year. In the second quarter, it was 250, right? So the sequestration has been and all that. I think you mentioned 150 bps from the claims severity. So I'm trying to figure out, just on a sequential basis, what exactly deteriorated so much in the third quarter, and maybe some color as to where or why these more severe claims are coming in?
Thomas A. McCarthy: Josh, it's Tom. So again, the impacts you noted are right. The dynamics, the level of impact and the claims severity impact, and the revenue impact, again, depending on the comparison you're making, sequestration as an impact, but obviously, not sequentially. The number that you picked up, though, the 150 basis point impact was related to the revenue -- an additional revenue adjustment within the quarter for the full year results. And the balance roughly would relate to the claims severity item.
Joshua R. Raskin - Barclays Capital, Research Division: Got you. So 150 is some sort of risk premium -- some risk-adjusted true-up or something like that, and then another 150 is the severe claims?
Thomas A. McCarthy: Yes, ballpark-ish those are.
Joshua R. Raskin - Barclays Capital, Research Division: Great. So I guess just any clarity on those claims? I guess we just haven't seen that for many of the other companies talking about the sort of high severity cases. I'm just curious if you think there's any root cause to that, or if there's any geographic sensitivity to it, et cetera?
Thomas A. McCarthy: There are number of drivers, and I wouldn't want to call out any one in particular. But you can be assured that our team is focused on improving that results both into the fourth quarter and into next year.
Joshua R. Raskin - Barclays Capital, Research Division: Okay. And then a follow-up just on the private exchanges. Could you talk specifically about your experience in 2013 with these exchanges? How you feel as though you're results are? And then, specifically to the Aon exchange which, in my understanding, has the majority of the active enrollees for '14, at least at this point, and your decision not to participate on that exchange.
David M. Cordani: Josh, it's David. As I noted before, early stages of implementation of the private exchanges to the first part of your broad question, therefore, our experience is somewhat limited. They're small pockets of experience and a variety of exchanges. As I indicated on the prior question, there are some single-carrier, multi-choice exchanges that we have experience on. There's multi-carrier alternatives that we have experience on. There's ASO experiences and, then there's some risk-based experiences that we see. Important to note, as I've indicated before, we have the capabilities to play under any of the configurations. We've chosen today to focus in the areas where our customers and our target customers seem to have the highest level of interest. And to date, that has been -- our customers have indicated that they have the highest interest in incentive and engagement-based programs that have pooled or bundled purchasing, a high level of transparency and that's where we focus. The value we're delivering is quite strong as indicated with our further improvement in our medical cost results. However, as we look forward, to the extent that changes and other models are delivering more attractive value, we have the capability to play there on a go-forward basis. So the options are open for us, and the capabilities are on hand to play on any one of those configurations should they prove to have a sustainable result for the benefit of employers and customers.
Joshua R. Raskin - Barclays Capital, Research Division: Was there something specific, Dave, I guess, around the Aon exchange that did not create that level of attraction or opportunity for you that you're not participating next year?
David M. Cordani: Sure, Josh. I don't think it's helpful to go into an individual exchange example. Maybe I'd ask you to just step back and think about everything we've done over the last 4 years has been driven by focus, focus, focus. Our Go Deep strategy has us focusing. So essentially, as we listen to the voice of our customers, our customers and the orientation of what our customers are seeking to purchase was oriented around other alternatives today. So we focused our resources to date on other scenarios, to the extent the needs and demand of our target customers evolve, we'll evolve by focusing our energy. But I'd ask you to think about it that way. We're not trying to be all things to all people. We're trying to focus on the needs of our customers and deliver a differentiated result in both '13 results and our projected '14 results show that we'll continue to grow and keeping that level of focus.
Operator: The next question comes from Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: I was hoping maybe you could address the outlook for January enrollment. And maybe, along with that, comment on the pricing environment you're seeing on the risk side and an update on your progress getting the industry fee and related tax impact reflected into commercial pricing.
David M. Cordani: Matthew, it's David. A little bit of color. So in terms of looking at January enrollment, as you'd expect at this point in time, we have a better view in terms of what we historically call national accounts and a less complete view in the regional in the select segment. So let me give you some color on national, and then take the opportunity to give you a little bit color on the overall relative to our growth, then I'll ask Tom to make a comment relative to the positioning of the tax from a pricing standpoint. Relative to national accounts, to remind you, we define that a little differently than everybody else. So those are commercial employers with 5,000 or more employees that are multistate. So we define it a bit more tightly. That segment of the population, the employment base is shrinking in a 1% to 2% range. That's our view of that target segment. Our strategic objective is to maintain share and continue to penetrate those engagement in incentive base buyers. And for 2014, we would expect to achieve that. Our pipeline of new business opportunities was down a little bit, as I indicated on the prior quarter call. Our pipeline of our opportunities that were out to date was also down somewhat. Taken altogether, our national account results will be year-over-year equal to slightly improved for 2014. If you look at our commercial book of business in total, at this point, we'd expect our commercial book in total to be about the same year-over-year. When you adjust for the known run-off of the limited benefit business that I made a reference to before, you can think about that as about 1% of covered life that went off in 2014. So Commercial, in total, about the same year-over-year, strong retention across our portfolio businesses, some reasonable good new business growth, and overall, that's going to contribute to a nice revenue results. As Tom mentioned, we have strengths in 2013 and we expect that strength in 2014. I'll ask Tom to make a comment on the industry fee.
Thomas A. McCarthy: So Matt, first to the overall question on pricing dynamic, really, no change from the market. Pricing dynamic seems to be traditionally or typically rational. There's occasional pockets of accelerated competitiveness, but no major turn to call out. And on the industry fee, in particular, as you know, we tend to have a disciplined pricing underwriting approach. And the industry fee is another cost factor that we have built into our process, and we've included it in the amount we need to recover just for the fee and our pricing, and so far, we seem to be encouraged by the results there.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: And if I could just one follow-up here. On the commercial trends, are you seeing the continued bias to self-insuring in the middle market in particular? Has that accelerated because of the industry fee on the fully insured side or vice versa? Are you seeing any inroads from the private exchange fully insured model offsetting that to some degree?
David M. Cordani: Matthew, it's David. Two comments relative to buying trends. First, before I get to the funding mechanism, I would submit to you just a continued intensity of focus on proven wellness programs for venture programs, consumer engagement programs, a high level of interest in what the industry may call higher performance networks. We call them our collaboratives or engaged physician networks. As it relates to funding mechanism, we've seen just a continuation. I wouldn't attach it to any one item. We've seen a continuation of interest demand and attractiveness to more transparent funding mechanisms. So take that as the self-funding mechanism, so we've just seen a continuation of that. And for 2013 and as we look to 2014, we see no material impact of drain off from that demand from a guarantee cost standpoint.
Operator: The next question comes from Ralph Giacobbe with Crédit Suisse.
Ralph Giacobbe - Crédit Suisse AG, Research Division: There's been some movement in the ASO market and national accounts. I was maybe hoping you could talk about that segment specifically, just the competitive landscape and what's going on there. And then along those lines, can you maybe talk about the profitability of lives by segment? Again, we've seen some movement in national accounts, whether it be swapping carriers or moving risk pay or so with seemingly little, if any, financial impact. So is it fair to say a profit per life is much lower international versus a middle market or select account?
David M. Cordani: Ralph, it's David. So a couple of comments here. First, consistent with my prior comment, as we look to 2014, on an all-in basis, adjusted for the, again, known sunsetting of the limited benefit business, we expect our commercial customer performance to be about the same year-over-year. So that's an all-in basis. As it relates to national accounts, again, we define it a little bit more narrowly than some of the competitors. So those commercial employers of 5,000 and more employees that are multistate, our current outlook is for a slight uptick in performance or improvement in performance year-over-year, driven mostly by retention. So the sales results are about consistent, but it's mostly an improvement in retention. So you can look at our book of business. While there's always going to be put and take here or there, our book of business is about the same across the franchise with a little uptick in the national accounts. I give you a little directional color on your profitability question. The primary drivers of profitability are long-term relationships. We are delivering sustainable value for your client and customer, and we earn the right to expand their relationship from our point of view with multiple products and services. So the specialty portfolio, the health improvement, the prevention, the wellness are critical parts of our business strategy. Said otherwise, we seek to not sell a stand-alone ASO-funded relationship as an example. To that end, the penetration or cross-selling grade is the highest down market in the select segment the package solution works in the most intense way and the lightest of international account segment. So general rule of thumb, you can conclude that as you go from the largest sized accounting segment down to the medium and smaller size, all of these remaining equal, profitability dial is up somewhat, but that's largely driven by further penetration of the specialty business. Final comment for Cigna. As you look at our performance, our revenue, our profitability, our profit for life and our retention performance suggest that we're managing that quite well, and we're delivering good value back to our clients, as evidenced by the retention rate and the continued success we're having.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay. All right, that's helpful. And just my follow-up, obviously, we've had a couple of years of lower cost trend. I know coming into this year, I think you priced your book for, I think, 6% to 7% trend. Can you give us a sense at all of what you expect and maybe priced going into next year?
David M. Cordani: Ralph, it's David. Again, we'll provide detailed guidance at the end of the fourth quarter, so we're not going to give you the specific numbers. You should assume, though, that our consistency of our approach. So we will, in our pricing, to our best estimate of medical cost trend and the medical cost trend outlook, we're taking a basic assumption of somewhat of an uptick in utilization as we had last year. To the extent that, that plays out, we will have priced that into our book of business. To the extent that doesn't play out, we'll be reporting back on the results in 2014. But on the fourth quarter call, we'll give you the specifics just anchor it in the fact that we're pricing at our underlying cost level that we're projecting for 2014, which includes somewhat of an uptick in cost pressure.
Operator: The next question comes from Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC, Research Division: Could you speak to your -- I'm trying to -- I know you're not getting into specifics on Medicare Advantage, but could you speak to your bidding strategy and how that 75% in collaborative care arrangements represents a lever and some of the other levers that you're using to offset some of the pressure? And then the full year accrual in MA that we saw this quarter, was that, in fact, a risk-adjusted accrual?
David M. Cordani: Christine, it's David. I'll start with the bidding strategy. I'll ask Tom to come back to the in-quarter revenue adjustment. So at a macro level, and as we talked before, the bidding strategy for our Medicare book of business is being consistent, consistent with what HealthSpring's philosophy has been and Cigna-HealthSpring and similar philosophy, and that is, you want price to have a sustainable set of relationships with your clients and customers, you want to avoid large wild undulations in the rate shop or otherwise and you want to have long-term sustainable relationships. So taking that forward, we took a position to price our book of business for 2014 and our new business offerings on a MSA or market-by-market basis to our best estimate of what would create a good value proposition for beneficiaries, both existing and prospective, as well as a reasonable balance of margin knowing there's a lot of disruption. To the specifics to where I think you're going at, we do have the lever, and the lever is an engaged physician model with incentive and risk sharing and reimbursement sharing with the physicians. That's a very important lever because the physicians are engaged with us in our dialogue in terms of how we're configuring that value proposition for 2014 in this case. And those physicians want to work with us jointly, arms locked to make sure we get the best possible value proposition in place. So it's a very collaborative operation that happens market by market. And our expectations right now based on our look at our pricing, the product attributes market by market as the competitive data comes out broadly around the country, we're pleased with how we're positioned from a product and price standpoint. Of course, there's going to be puts and takes by market, but if you take the national position we have in our key markets, we're pleased with our positioning for 2014. And we would expect to grow our Medicare Advantage covered lives in spite of some margin pressure, given all the industry change that we confront in 2014. Tom, can I ask you to reclarify the revenue item?
Thomas A. McCarthy: Just hold on to that comment for a second, David. So first, Christine, you asked about the general lever. So there is a physician engagement model, I'd also point out for the other obvious one, benefits adjustments. And I'd also point out, we have a number of markets where we're still in the early stage of focusing in physician engagement model. And in fact, another lever for 2014 is more focused on those markets where that model is a little -- in the earlier stages of development. And as David said, overall, lots of positive things mitigate the impact. But we still are expecting margin pressure in Medicare Advantage in 2014. So to your second more specific point, yes, that adjustment is largely related to risk adjusters.
Operator: The next question comes from Kevin Fischbeck with Bank of America.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: I was wondering if -- you talked about some of the headwinds into 2014. Can you talk about some of the tailwinds that you are looking for that gives you confidence in being able to deliver earnings growth on top of the higher guidance for this year? Obviously, the PBM would be one area. But anything else that you would highlight as giving you confidence for growth next year?
David M. Cordani: Kevin, it's David. I'll highlight 3 items. First, I would just highlight this organic growth. We expect to, again, grow revenue and grow revenue at an attractive level. So what's behind that? What's behind that is, in the core medical business, some customer growth; two, further expansion of our specialty business; three, continued growth of our Group Insurance disability asset; and lastly, continued attractive growth of our global business. So organic growth will be one; two would be the point you raised, the further strengthening of our PBM will create a tailwind for us; and third, I would highlight, we now have a track record of continued prudent operating efficiency leverage in the franchise, so that would be a contribution as we go into 2014, all while we continue to invest back in the franchise for the long-term. So those will be the 3 primary tailwinds I would highlight for you.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. And then just a follow-up question, I guess, back on to the private exchanges. I think Edwin, on the conference call, talked about the movement of ASO back to risk is being something that would increase profitability of membership 4x to 5x. And I understand where their math is coming from. Do you see that same opportunity? I wasn't sure if your focus on stop-loss as a supplement to the ASO business might change the dynamic, and how you thought about shift from ASO back to risk?
David M. Cordani: Sure, Kevin. It's David. So giving you just a grounding point and then how we think about it. The grounding point is to be clear, we have the ability to offer ASO/stop-loss shared return and risk alternatives in the market we do every day. For example, in the Select Segment, a segment that's growing very nicely for us and has proven the ability to grow on a consistent basis, we frequently report in front of a client and a prospective client an ASO/stop-loss alternative side-by-side with the risk alternatives. And then a consultative fashion gets to the right outcome for that client at that point in time. So as Tom would like to say, sometimes we're a bit agnostic. You want to get to the right solution for the employer, and you want to have the capability to be able to deliver good value for the client, as well as a fair return from a shareholder standpoint. With that said, I would submit to you that, not speaking about the competitive landscape but speaking about it from the Cigna's landscape, our success in terms of having a vibrant portfolio of specialty businesses and the ability to package solutions and deliver an overall proposition has presented an environment where our ASO profitability is quite attractive. So I wouldn't look at a similar leverage point as you move between a simple ASO -- stripped-down ASO business versus risk piece of business. And then finally, I feel compelled to state the obvious, the capital efficiency needs to be taken into consideration under any of those scenarios. Clearly, we take that into consideration because we underwrite risk business everyday in our company, but I think it's a little bit of a pause to say, you're just going to line up a profitability pro life. So one, we have the ability to do this today; two, we do it shoulder-to-shoulder everyday; and three, our success in terms of packaging solution, whether it's an ASO proposition or risk proposition, gives us confidence that we'll be able to thrive under either of those scenarios going forward.
Operator: The next question comes from Chris Rigg with Susquehanna.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Just wanted to come back to Medicare Advantage quickly here. Just to clarify, is the claims pressure across the board, or is it isolated to a handful of plans or a region? Or any color as to what you're seeing there would be helpful.
Thomas A. McCarthy: Chris, it's Tom. I wouldn't call it across the board, but I wouldn't call it isolated either. It's in a number of markets. Some models are more intense than others. And again, we're working aggressively to address the problem right now.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Okay. And then is it in one sort of bucket of utilization inpatient, outpatient pharmacy or is it, again, just across the board?
Thomas A. McCarthy: Yes. It's generally in the facility costs.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Okay, okay. And then just real quickly here. On the Disability and Life business, it looks like you'd stabilized from relatively low level of profits in the first quarter rebounded in second and third quarter, now it looks like you're expecting that to drop back off in the fourth quarter. Is that -- is there something to highlight there?
Thomas A. McCarthy: No. Again, I'd take you back to that. It's Tom again. I'd take you back to headlines first, and you have kind of picked up on the overall headlines. The group results -- the group businesses has been performing really well in a challenging environment. The reporting dynamics on that business are a little different from what you're used to in our core for health care business. There is more variability in results due to the nature of the business. So really, what we're talking about is some normalization across the year to a good result.
Operator: The next question comes from Peter Costa with Wells Fargo.
Peter Heinz Costa - Wells Fargo Securities, LLC, Research Division: Can you quantify the impact of the health insurance fee and the premium tax fee, the per-member fee in terms of the midyear enrollments? So what's going to be the headwind for next year or what's the earnings impact of that this year, I guess, is the question.
Thomas A. McCarthy: Peter, it's Tom. That's an estimate, of course. But right now, we would estimate that as kind of a 10% -- $0.10 EPS headwind going into '14.
Peter Heinz Costa - Wells Fargo Securities, LLC, Research Division: Okay. And then it seems like on a, firstly, weekly basis, we're getting more and more things that look like they're causing the risk pool on the exchanges to get worse, whether it be the delaying the employer mandate, or the website not working, or the change in terms of how the ability for hospitals, perhaps, the pay premiums or enrollees, maybe going forward, the cost-sharing subsidies not being -- or being coming susceptible to the sequester cuts, or even a delay in terms of the individual mandate if that happens or an extension of the time frame to sign people up. What's your -- when does this become too much in terms of making the risk pool too sick to the point where you guys decide to step away from the exchanges altogether?
David M. Cordani: Peter, it's David. You're painting an interesting picture. But to step back, putting it back into a Cigna context, as you know, Cigna has historically not had a meaningful small employer, under 50 lives licensed [ph] employer or individual guarantee cost book of business. Therefore, we were not forced to take action to protect the portfolio of businesses. As you know from our prior conversations, we sought to test the market over about a 3-year period of time with some new benefit offerings distribution strategies, and then we stepped in on a very focused basis in 5 states, working with physician collaboratives to offer solutions that we think offer a very good value and can be sustainable. So point one is, we're very focused for 2014 in the limited number of markets, with our physician partnerships in hand in those markets. Our expectation is that, we're in a very early innings, and when you're in a very early innings of anything, it is going to be rocky. We're going to maintain a very sharp focus. And as we've consistently said, we've cautioned to not to look at this opportunity, for at least our company, as a watershed moment for revenue or earnings contribution whether that's for '14 or '15. It may present a long-term opportunity, and we want to be in position relative to that. But we're running our business that the core of the franchise needs to be able to deliver, and it will, for 2014, both revenue and earnings growth despite the challenges you just articulated for that early emerging marketplace.
Operator: The next question comes from Carl McDonald with Citigroup.
Carl R. McDonald - Citigroup Inc, Research Division: So I wanted to see if you could come back to the underlying earnings base for '13. So I can back out all the positive things that you've disclosed from $0.50 to $0.55. But it also seems like every quarter, there's a handful of negative things that you don't disclose. You talked about the unfavorable life experience this quarter, the strengthening of litigation reserves. So just interested if you have a view relative to your $6.80, $6.90 guidance, what we should think about as being the underlying earnings number for '13?
Thomas A. McCarthy: It's Tom. I'm not sure it's going to be really helpful to get into the nits and nats of that. As you point out, some of the items end up in the -- being more fully discussed, and some of the items end up being just kind of in the run rate. The results in the quarter are pretty clear. This is a strong quarter. And the last few quarters have been strong quarters. Fundamental results, we've had consistent better-than-expected operating expenses, consistent better-than-expected medical costs in commercial. Our disability results over the course of the year, despite some of the ups and downs of the reserve studies, have been good for the year, and we've continued to show really strong results in supplemental benefits and revenue earnings. This quarter did have a couple of unfavorable impacts in it. But overall, good fundamental results are driving the quarter's results.
David M. Cordani: Carl, it's David. Just to add to Tom's point. When you take that together, you take our all-in reported number for 2013 and our revised upward outlook for that, we're committing to be able to grow our earnings base and grow our revenue base going into 2014. Tom and I highlighted a few of the items that you could view as -- I'm thinking about differently in a prior comment, Tom just commented on the industry fee headwind that's created. We have the run-off of a line of business that I commented, maybe up to $25 million, $30 million. We've got favorable medical costs and the reserve development, those are all chunks that you can model out. But I think the headline here you can step back and look at is, '12 was a very strong year. We grew off the base of that in '13, we've continued to grow '13 throughout the course of the year. And our expectation is despite all the moving parts, albeit the rate of growth from a percentage basis will be a bit smaller than our historical run rate, we're going to be able to grow earnings in 2014 as well, and we're very excited about that.
Operator: The next question comes from Dave Windley with Jefferies.
David H. Windley - Jefferies LLC, Research Division: I wanted to start on capital, if I could. I'm guessing that your priorities for capital deployment are probably very similar to what they have been in the past. If not, I'll let you elaborate. But I am curious, your comment about reducing contributions to the pension. Would you expect to have more capital for deployment? And if so, would you be more interested in deploying that for acquisitions? Has your appetite been renewed there? Or should we expect, perhaps, more share repurchase with that capital phase?
Thomas A. McCarthy: Dave, it's Tom. You started with the conclusion. You're right, our capital deployment priorities haven't changed. Our first priority is to fund the organic growth; second is, to seek M&A opportunities that fit with our strategy; and then we'll return capital to shareholders primarily through share repurchase. And again, I wouldn't -- we wouldn't change those priorities, and I wouldn't try and foreshadow activity in one area or the other. Again, we'll be very closely focused on what aligns with our strategy. To your more specific comment on pension plan, yes, I think you've drawn a right conclusion there. Over the last few years, targeted $250 million pretax to fund the pension plan, and that consciously funded above the minimum requirements. In 2014, it's likely and we do have to wait until we get to year end and see how market conditions are then in the final reporting on the plan. But it's likely we would transition to a minimum funding approach, which in 2014, would likely mean about $100 million pretax contribution to the plan instead of $250 million.
David H. Windley - Jefferies LLC, Research Division: Okay, very good. And then apart from a lot of the health care comments here, I wondered if there were any particular, I call them, hotspots, in some of your other businesses, international, ex patriot, et cetera, that are worthy of note in regard to maintaining or accelerating growth in some of those other segments?
David M. Cordani: David, it's David. You used the term hotspots, so I'm taking the connotation of caution. The only thing I would draw your attention to is that, as noted in our prepared remarks, we continue to invest in even on an accelerated basis in the third quarter, our Global Supplemental Benefits business. But broadly, for the portfolio, we feel quite good. The track record of revenue growth, earnings growth and customer base expansion in the other lines of businesses is quite strong. We expect to continue that, and we're taking the steps to further accelerate investments that we think are prudent in all of our businesses.
David H. Windley - Jefferies LLC, Research Division: Very good. I actually did mean good things.
Operator: The final question comes from A.J. Rice with UBS.
Albert J. Rice - UBS Investment Bank, Research Division: First, a specific question on the PBM. You referred to that as one of the positives for next year. I know when you originally announced the deal, you guys said that transition costs would come first, and it'd be about a $0.10 to $0.15 drag in the third quarter before it swings positive or neutral in the fourth. I want to just confirm that, that is what you're seeing, and is the transition going about as you gauged it in the summer when you announced the deal?
Thomas A. McCarthy: A.J., it's Tom. So that specific point on the quarterly dynamics, the pace of spending was actually a little less than we expected in the third quarter, but we're still on track in the overall plan and we still expect little net impact overall in 2013. So really, comfortable with where we're headed on that project right now.
Albert J. Rice - UBS Investment Bank, Research Division: Okay. And then just broadly, signing new -- 9 new collaborative care relationships. I wondered with the dynamic of right on top of the rollout of exchanges, et cetera, what is the dynamic of your discussions with providers around these collaborative care relationships? Has it changed any in the last 6 to 12 months? Is it -- you see more or less opportunities? Or are you -- are you seeing, I guess, competition for other people trying to put these together, as well as you? Has that changed in any way?
David M. Cordani: A.J., it's David. First, just by way of a backdrop comment here. Remind you that we started and we set up our first collaborative back in 2008. We stood up 8 of them [indiscernible] a variety of different models. So we've been at this for a while. That's the first point. Second, with the 75% [ph] up in operational on the commercial side plus having 75% of our Medicare Advantage customers and physician engagement model, we're well in excess of 1 million lives that are experiencing these services today on a dedicated or comprehensive basis. As it relates to the market dynamic, you should think about it as a market dynamics of increased demand not stable or decreased demand from physician and delivery system partners. And if I were to describe any change in that, the intensity and [ph] uptick in terms of what I'll call the facility-integrated systems on top of what has been the physician organization. So more demand increasing in the physician space, as well as now increasing in the integrated facility base. Your reference is to more competition. This is an area that everyone is talking about. There's a lot of activity. I would submit that our team is extremely well positioned as we've been at this a while. From a Medicare standpoint, the HealthSpring team has been active for well over a decade, with very proven track record. And from a commercial standpoint, we've now put 5 years of experience here. So a good outlook for the future to continue to grow this. And what's most important is, at the end of the day, are you able to deliver differentiated result for your client and customer? And the exciting part here is that, from a commercial standpoint, we could point to improved results, better medication compliance, better clinical engagement on a lower medical cost that are passing through, that's a positive from sustainability standpoint.
Operator: I would now like to turn the call back over to Mr. David Cordani for closing remarks.
David M. Cordani: Thank you. In closing, I'd like to underscore just a few points from our discussion this morning. Cigna's third quarter results reflect strong revenue in earnings contributions from each of our ongoing business segments, continue our track record of strong financial results and our momentum from the first half of the year. We are confident in achieving our increased full year earnings outlook for 2013. Looking ahead, we expect to grow revenue and earnings in 2014 over our increased 2013 outlook, and this excludes any future reserve development or capital deployment. We continue to deliver our Go Deep, Go Global and Go Individual strategy to leverage our capabilities around customer insights, consultative selling and physician engagement to guide us through an evolving and disruptive environment. We thank you for your participation today and for your continued interest in Cigna, and we look forward to our future conversations. Have a great day.
Operator: Ladies and gentlemen, this concludes Cigna's Third Quarter 2013 Results Review. Cigna Investor Relations will be available to respond to additional questions shortly. A recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing 1 (800) 947-6314 or 1 (203) 369-3981. No passcode is required. Thank you for participating. We will now disconnect.